Operator: Good afternoon, ladies and gentlemen, and welcome to Systemax Inc.’s Second Quarter 2020 Earnings Call. At this time, I would like to turn the call over to Mike Smargiassi of The Plunkett Group. Please go ahead.
Mike Smargiassi: Thank you, Grant, and welcome to the Systemax second quarter 2020 earnings call. Today's call will include formal remarks from Barry Litwin, Chief Executive Officer; and Tex Clark, Senior Vice President and Chief Financial Officer. We will not be hosting a live Q&A session at the end of today's call. If you should have any questions on the results, please contact the Plunkett Group or Systemax. Contact details can be found in the press release issued today and at systemax.com. Today's discussion may include certain forward-looking statements. It should be understood that actual results could differ materially from those projected due to a number of factors, including those described under the forward-looking statements caption and under risk factors and the Company's annual report on Form 10-K and quarterly reports on Form 10-Q. The press release is available on the Company's website and will be filed with the SEC in a Form 8-K. This call is the property and is copyrighted by Systemax Inc. I will now turn the call over to Mr. Barry Litwin.
Barry Litwin: Thanks, Mike. Good afternoon, everybody. And thank you for joining us today. The health and safety of our associates, their families and our customers remain our first priority as we continue as an essential business to support our customers. We had a terrific second quarter highlighted by accelerated revenue growth of 4.3% and 6.4% in May and June respectively. This recovery largely offset the significant declines recorded early in the pandemic through much of April as we completed the quarter down only 2.6% over last year. I would note, the positive trend has continued into July. Revenue performance was driven by growth in PPE, an expanding pandemic product line and sequential monthly improvement in core non-PPE product lines as businesses began to reopen. We generated year-over-year operating leverage by expanding gross margin through a higher concentration of private label products and our disciplined approach to managing expenses. Overall, this was a significant accomplishment given the current operating and economic environment. Our teams have done a terrific job of executing our return-to-work plan and generating momentum with our strategy to accelerate our customers’ experience. This includes initiatives within our ACE strategy or Accelerating the Customer Experience, as well as our Restore, Return, Rebound campaign which launched in April. As states and businesses focus on reopening, our ability to help them rebound has positioned Global Industrial with customers as a leading source for education and guidance on pandemic-related solutions and supplies. As a reminder, Restore, Return and Rebound provides guidance on both room by room and end market best practices for addressing the challenges of the COVID world, including product solutions for cleaning and sanitizing requirements, indoor and outdoor maintenance and social distancing aids, such as signage and separators. This proposition enables our sales force and digital platform to engage customers at a timely and practical discussion that not only covers PPE and related product, but our broader offering of facility solutions. As a result, we are deepening relationships and establishing our position as a true long-term partner to our customers. Our sourcing and supply chain continue to work tirelessly to secure high-demand products. As many of you know, Global Industrial has a long history of providing high-quality private label products. As a key pillar to our ACE strategy, we continuously look for opportunities to strategically expand our product offering in both emerging and existing categories. The extraordinary demand we've seen for PPE and other COVID-related products provides a great example of how our team stepped up to the plate to meet the needs of customers. As the pandemic hit, the supply of national brand PPE was extremely constrained and remain so today. Our teams reached out to current suppliers and established new manufacturing relationships, which allowed us to launch PPE and cleaning products under the Global Industrial brand. The ability to source, fund and expedite this high-demand product highlights our sourcing capabilities and the nimbleness of our Company as we quickly reacted to shifts in customer demand. Overall, the business is operating effectively. Customer acquisition activity remains healthy, and we've been pleased with the continued strength of our platform. We believe our e-Commerce centric foundation provides a competitive advantage that differentiates us from retail focused distributors. We're making further investments in both digital and marketing capabilities, including new resources and talent, which will further accelerate our digital capabilities and drive sales efficiency over time. In conclusion, we remain focused on our multi-year strategy to accelerate our customer engagement, generate operating leverage from current operations and investments and champion a stronger customer-centered culture across our entire organization. We're optimistic given the opportunities we are seeing as businesses reopen. However, the economic environment remains challenging and further disruption is possible as our customers continue to work through the effects of the pandemic. We are pleased with how we have managed the business and we’ll continue to make strategic investments, strengthen our position for the future. We are well-positioned with a strong balance sheet and maintain significant financial flexibility. I will now turn the call over to Tex.
Tex Clark: Thank you, Barry. I’ll now address our performance in more detail. I would like to note that we have the same number of selling days in the second quarter of 2020 as we did in a year-ago period. In the second quarter, revenue declined 2.6% on a GAAP basis and 2.4% on an average daily sales constant currency basis over Q2 of last year. Revenue was approximately $242.1 million with the U.S. declining 4% while Canada grew 39% in local currency. As Barry noted, we had an improvement in trends as we moved through the quarter and we recorded revenue growth in both, May and June. We've seen strength in the sales pipeline as new order activity is healthy and our open sales backlog, while remaining largely unchanged in value from the conclusion of the first quarter is still elevated significantly from historical levels. Sales results have largely benefited from the investments we've made to accelerate the time to market of PPE, in order to meet the rapidly changing demand profile of our customers early in the pandemic. As we moved through the period, we focused our marketing efforts and pivoted to conversations with our customers to the broader facility solutions they required to open safely and to support their ongoing operations. In the aggregate, as businesses have begun to reopen, our core product lines recovered to mid-single-digit declines in June and sales of pandemic related supplies remained strong. Gross profit for the quarter was $84.8 million, down from $86 million last year. Gross margin rate was 35%, up 40 basis points from the prior year and 130 basis points on a consecutive quarter basis. Margin improvement in the period was primarily driven by mix shift to in-stock and private label products, and the higher margins these sourcing channels provide has compared to products fulfilled via drop ship model. We were pleased with gross margin performance and remain focused on maintaining our gross margin profile. We may see continued margin variability due to the current economic environment, changes in mix as a result of our customers’ strong demand of PPE and other related products and historical seasonality. Selling, distribution and administrative spending for the quarter was $64.7 million or 26.7% of net sales, a 20 basis-point increase as a percentage of sales from last year. Our SD&A ratio reflects the impact of lower sales on our fixed cost structure, partially offset by efficiencies in our digital marketing efforts, as well as the benefit of a reduction in force action taken in April. GAAP operating income from continuing operations was $20.1 million, a slight improvement compared to the year-ago period and the operating margin improved 30 basis points to 8.3%. Total depreciation and amortization expense of the quarter was $1 million, capital expenditures for the second quarter were $0.1 million, and we continue to expect the 2020 capital expenditures in the range of $3 million to $5 million, primarily comprised of maintenance-related capital. Let me now turn to our balance sheet. We have a very-strong and liquid balance sheet with a current ratio of 1.7 to 1. As of June 30th, we had approximately $58 million in cash and equivalents, $121.8 million in working capital, essentially no borrowings, and excess availability of $71.4 million under our $75 million credit facility. In the second quarter, we repurchased 50,000 shares of stock at an average price of $17.65. As of June 30, we had approximately 1.5 million shares remaining under our current repurchase authorization. We maintain significant flexibility to fully execute on our strategic plan, continue to fund our quarterly dividend and successfully navigate through the current market. As such our Board of Directors has declared a quarterly dividend of $0.14 per share of common stock and we anticipate continuing our regular quarterly dividend in the future. This concludes our prepared remarks. If you have any questions about second quarter 2020 earnings, please contact Mike Smargiassi of the Plunkett, our Investor and Media Relations advisor or Systemax directly. Contact information can be found on the earnings release issued earlier today. Thank you for your continued interest in Systemax.
End of Q&A: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.